Operator: Ladies and gentlemen, good day, and welcome to the Leonardo DRS Third Quarter Fiscal Year 2024 Earnings Conference Call. At this time, all participants are in a listen-only mode. Following the company's prepared remarks, there will be an opportunity to ask questions, and instructions will be given at that time. As a reminder, this event is being recorded. I would now like to turn the conference over to Steve Vather, Senior Vice-President of Investor Relations and Corporate Finance. Please go ahead.
Steve Vather: Good morning, and thanks for participating on today's quarterly earnings conference call. Joining me today are Bill Lynn, our Chairman and CEO; and Mike Dippold, our CFO. We'll discuss our strategy, operational highlights, financial results, and forward outlook. Today's call is being webcast on the Investor Relations portion of the website, where you will also find the earnings release and supplemental presentation. Management may also make forward-looking statements during the call regarding future events, anticipated future trends, and the anticipated future performance of the Company. We caution you that such statements are not guarantees of future performance that involve risks and uncertainties that are difficult to predict. Actual results may differ materially from those projected in the forward-looking statements due to a variety of factors. For a full discussion of these risk factors, please refer to our latest Form 10-K and our other SEC filings. We undertake no obligation to update any of the forward-looking statements made on this call. During this call, Management will also discuss non-GAAP financial measures, which we believe provide useful information for investors. These non-GAAP measures should not be evaluated in isolation or as a substitute for GAAP performance measures. You can find a reconciliation of the non-GAAP measures discussed on this call in our earnings release. At this time, I will turn the call over to Bill. Bill?
Bill Lynn: Thanks, Steve. Good morning, and welcome, everyone, to the DRS Q3 earnings call. We are pleased with our strong third quarter performance and the continued momentum in the year-to-date. Our performance exemplifies the entire team's tenacity and dedication. Their steadfast focus in delivering critical technology for our customer is also translating into excellent outcomes for DRS shareholders. I want to express my thanks to the team for their incredible efforts and commend them on their impressive accomplishments to-date. Our quarterly results reflect steady customer orders, solid revenue growth, profit expansion, exceeding our top line and improved free cash flow generation. Healthy customer appetite across our differentiated portfolio drove a book-to-bill ratio of 1.3 in the quarter. Demand for our naval network computing, electric power and propulsion, force protection, and advanced infrared sensing technologies were key contributors to our $1.1 billion of bookings for Q3. As a result, backlog marched higher, both on a year-over-year and a sequential basis. Quarterly revenue growth was 16% over last year. We also grew our adjusted EBITDA by 22% and delivered margin expansion of 60 basis points in Q3. Lastly, adjusted diluted EPS was similarly propelled by strong operational execution and up 20% year-over-year. Shifting to the macro environment. As we expected, our customers began FY ‘25 under a short-term continuing resolution, which currently lasts through December 20. We do not foresee much of an impact in 2024 from this CR. That said, we are hopeful that Congress passes appropriations in a timely manner to provide our customers with the necessary funding clarity, which is especially important in light of the increasingly complex and elevated global threat environment. Irrespective of the outcome of the election next week, we believe that the robust threat environment will require higher and prolonged U.S. and allied defense investment. Our diverse and platform agnostic portfolio remains well-positioned to meet our customers’ most challenging mission needs. Shifting to operations, our business continues to enjoy broad-based success as evidenced by the healthy customer demand and innovation milestones achieved this quarter. Let me review a couple of noteworthy items. First, our strategic rationale for acquiring RADA nearly two years ago continues to be validated and the business has performed well. The urgency and imperative to protect people and platforms from proliferated airborne threats has only increased. Today, effective air defense is being achieved through a greater quantity of capable and distributed tactical radars versus the traditional more centralized model. This is similar to what is happening in space with the shift to low earth orbit satellites for missile tracking and detection missions. Our tactical radars are being deployed for a diversity of close in and short-range air defense applications against drones, missiles, and other airborne threats. The global threat environment has reinforced domestic and international interest for our multi-mission and tactical radars, which is reflected in our bookings and growth. We are also experiencing robust customer demand, which is reflected across our portfolio. In the quarter, we continued to build on our multi-domain positions in the advanced infrared sensing and network computing markets, with several sole-sourced contract awards for follow-on work. One of these contracts includes a $235 million production contract award for naval radars deployed on U.S. surface combatants. In addition to fortifying our leading market positions, we are successfully penetrating logical market adjacencies. I am pleased to report that we secured new contract awards to provide customers with our cutting-edge over-the-horizon radar technology. This marks an expansion of our radar portfolio into new sensing modalities for more long range and sophisticated threats. Additionally, we are seeing our infrared sensing capability expand into small tactical drone applications. We look forward to further building on these initial footholds and others in the years to come. Across our business, we are working with strategic partners that share our spirit of innovation and agility. Just a few weeks ago at AUSA, we unveiled a directed energy counter-drone capability. This striker-based solution adds to our suite of force protection solutions and integrates a new threat defeat mechanism to our proven portfolio. I am incredibly proud to note that in as few as eight months, DRS and its team designed, developed and tested this capability to successfully down Class 1, 2, and 3 drone threats at a distance. Our ability to address challenging customer mission requirements and go from concept to operational and production-ready capabilities in a rapid manner sets us apart from the competition. Sticking with innovation, we are advancing the integration of AI into our sensing solutions. In close collaboration with our partners and customers, we recently developed and tested an AI-aided target recognition capability on multiple platforms. Lastly, in our electric power and propulsion business, we remain on track and are making steady progress on the new facility down in Charleston, South Carolina. I also want to highlight that we are performing well on our portion of the Columbia-class program. We are delivering to our customers with quality and on schedule. From a financial perspective, we are also seeing the incremental benefit of shifting further into production and executing out of the more attractively priced shipsets. Overall, we are pleased with the strong momentum evident in our year-to-date results, which lays a strong foundation to close out the year. Disciplined adherence to our strategy and rigorous operational execution are fundamental to our long-term success. As I look forward, I'm excited that our agility, innovation, and talented people are sharpening our market-leading positions. With that, let me turn the call over to Mike, who will walk you through our financials in greater detail.
Mike Dippold: Thanks, Bill. Let me also offer my congratulations to the broader team in delivering another solid quarter. Revenue growth in the quarter was 16% and completely organic. Impressive customer demand and favorable timing of material receipts pushed revenue above our expectations. Our programs related to advanced infrared sensing, force protection, and tactical radars were key tailwinds to growth in the quarter. From a segment perspective, ASC revenue was up 24% year-over-year, bolstered by growth from programs in advanced infrared sensing and tactical radars. IMS revenue was up modestly at 3%, aided by increases to our force protection programs. Now to adjusted EBITDA. Adjusted EBITDA in the quarter was $100 million, representing 22% growth from last year. Increased volume was the primary driver for the 60 basis points of margin expansion generated in the quarter. Shifting to the segment view, ASC adjusted EBITDA increased 33% with margin of 90 basis points, due to favorable program mix, more efficient program execution and higher volume. IMS adjusted EBITDA was, up 6% and margin expanded by 30 basis points on higher volume and slightly improved net program execution across the segment. On to the bottom line metrics, third quarter net earnings were $57 million and diluted EPS was $0.21 a share, up 21% and 17%, respectively. Our adjusted net earnings of $64 million and adjusted diluted EPS of $0.24 a share were up 21% and 20%, respectively. Crisp operational execution eclipsed the higher tax rate and expense in the year-over-year compare. Moving to free cash flow, cash collections were significantly higher than last year, fueled by increased net profitability and more efficient working capital. Next, let me review our increased 2024 guidance. Our remarkable year-to-date performance has unlocked a path for higher annual growth across all of our key metrics. Starting with revenue, we are now anticipating 11% to 13% year-over-year growth, which is reflected in the revised $3.15 billion to $3.20 billion range. With one quarter remaining in the year, we have fairly clear visibility on the drivers and sources of revenue. The variability in the range will largely rest on the timing of material receipts and to some extent, the progress of labor inputs. The implied fourth quarter revenue was a tough compare due to the fact that we anniversaried the benefits from discrete improvements from our supply chain that began in Q4, 2023. Our increased adjusted EBITDA range is now $387 million to $397 million. The revised range maintains healthy year-over-year margin expansion driven by the Columbia-class transition to production, as well as operational leverage from higher volume. Additionally, we still anticipate both ASC and IMS segment to contribute to annual revenue growth and margin improvement. Next, our adjusted diluted EPS is now anticipated to be meaningfully higher with the revised range between $0.88 and $0.91 a share. The new range reflects a lower forecasted tax rate of 19%. However, our fully diluted share count is static from our prior guide at $268 million. Lastly, we are still targeting approximately 80% free cash flow conversion of our adjusted net earnings for the year. Moving briefly to 2025, I want to offer a preliminary guidance framework to calibrate your thoughts with what we are seeing materialize in our internal forecast. Currently, we are projecting 5% to 8% revenue growth off of our revised 2024 midpoint with adjusted EBITDA margin at approximately 13%. Consistent with past practice, we plan to establish more formal guidance in conjunction with our fourth quarter and fiscal year 2024 call in February. Let me wrap up with some closing thoughts. As we quickly approach two years of being back in the public markets, we are pleased with the way the business has performed and our positioning for the future. The well-earned success, we have enjoyed over the past few years is a direct result of the team's unwavering commitment in delivering excellence for customers and shareholders. We look forward to continue executing on our strategy to unlock incremental value. With that, we are ready to take your questions.
Operator: Thank you. At this time, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Peter Arment of Baird. Please proceed with your question.
Peter Arment: Yes, good morning Bill and Mike, Steve. Nice results. Hey, Bill, maybe if you could just start, we'd start with kind of the force protection demand, how that has changed? It seems like it's materially ramping up and whether that's going to require more CapEx in the future or whether you can -- you can handle it within your existing facilities?
Bill Lynn: Yes, thanks. Thanks, Peter. I think force protection is something that was driven as the US changed its strategy in the latter part of the last decade to focus more on peer competitors. So we're now going against threats, Russia and China that have obviously significant air forces. Same time the drone threat across the threat spectrum has grown. I think all of that started a move up in force protection and frankly, we got ahead of that with SHORAD and Counter-UAS. And then you had Ukraine, which highlighted on some dramatic YouTube videos, just exactly what that need for organic force protection was that you couldn't go with the old system of defending at the perimeter. Each unit, even sometimes each vehicle -- needs force protection. So I think those overall trends have driven now the army to expand its force protection, expanded SHORAD and short-range air defense and counter-drone, the numbers of units and number of troops devoted even as they've shrunk the forest structure overall. In terms of facilitization, we built a new facility in St. Louis a couple of years ago as part of this force protection expansion. So we're not seeing right now a need for more CapEx in that area.
Peter Arment: Got it. I appreciate that. And then just on the naval shipyards, what are you seeing in terms of the supply chain there? I know you're obviously going to benefit from setting up a facility in Charleston, but what's the latest on kind of the outsourcing or the efforts that are going on there?
Bill Lynn: Well, our efforts in -- on Colombia really have more to do with in-sourcing than outsourcing. Part of the reason to build Colombia is to pull -- since we now have a contract that goes out more than a decade, it lets us develop a more efficient delivery mechanism of that revenue, which involves pulling some of the work inside and that was the whole reason to build that South Carolina facility. And that's going to drive a more efficient production line and higher margins.
Peter Arment: Yes. And just lastly, just your commentary about 5% to 8% kind of top line growth for -- in 2025 just -- and that assumes a CR gets resolved and any other kind of key points that you want to highlight that underwrites the growth there?
Bill Lynn: Go ahead, Mike.
Mike Dippold: Yes, I'll take that, Peter. I think as we've discussed in the past, you know, and CR has become kind of commonplace here for the industry. That is pretty much baked into our guide. We have a lot of the revenue coming through in 2025 that's coming out of backlog and the majority of the remainder that's not coming out of backlog is on program continuation. So not too much in terms of a headwind from an extended CR, but that's how we're viewing the 2025 guide, Peter.
Peter Arment: I appreciate all the details. Thanks guys. I'll jump back in the queue.
Operator: Thank you. Our next question comes from the line of Robert Stallard of Vertical Research. Please proceed with your question.
Robert Stallard: Thanks so much. Good morning.
Mike Dippold: Good morning.
Bill Lynn: Good morning, Rob.
Robert Stallard: Bill, I'll start with you. First of all, on the Columbia-class program. General Dynamics had some pretty conservative comments about submarines as a whole the other day. And I was wondering if you see any sort of indirect risk to your schedule and financials on the program due to problems elsewhere?
Bill Lynn: Not at this point, Rob. I mean we -- they've segregated out the contract we have for the propulsion system and frankly, we now have a contract that goes out a decade. We're actually ahead of the yard -- the shipyard in terms of the contracts they're getting from the Navy. And the intent there was to insulate that critical component from schedule variability based on other components. And I think that is proving out at this point good.
Robert Stallard: Good. And then to follow-up on Peter's question about your 2025 framework. The 5% to 8% range is fairly big. What might put you at the low-end or the high-end of that revenue growth range next year?
Bill Lynn: Yes. Our range is always going to be moderated by the supply chain and the availability of material and when the material becomes your kind of -- it's in our pocket in order to execute the program. So that's always the biggest driver of variability. The other will be some pacing of the timing of the awards that we receive on the portion that is a book-to-bill. But those are the two things that typically will swing us within the range, Rob.
Robert Stallard: Okay. And then just a final one from me again for Bill. On capital deployment, nothing to report since three months ago, I suppose. But I was wondering if you are seeing anything of interest on the M&A front at that.
Bill Lynn: We are Rob, M&A remains our priority and we have seen an uptick in volume. We are seeing actionable opportunities in those four core markets that we've talked about, advanced sensing, naval power of force protection and network computing. So we're very active in terms of diligence, as you said, nothing yet to announce, but we are seeing that uptick in volume and actionability.
Robert Stallard: That's great. Thank you very much.
Operator: Thank you. Our next question comes from the line of Michael Ciarmoli of Truist Securities. Please proceed with your question.
Michael Ciarmoli: Hey, good morning, guys. Thanks for taking the question. Real nice results here. Maybe just to kind of stay on Rob's line of questioning. I guess, Bill or Mike, on the 25%, 5% to 8% growth, you've obviously got this, you know, '26 framework calling for 4% to 7%. You're going to outgrow that two years in a row. I mean, it seems like there's definitely some upward pressure to that ‘26 kind of implied target you put out there. But I guess, is there any reason we should think about any kind of material deceleration? Can you kind of -- you know, we're obviously seeing a lot of force protection demand. Can you frame up if any of this is, you know, a little bit shorter-term in nature, maybe up tempo driven from the Middle East or from Ukraine? If, you know, I know you kind of went through the puts and takes on ‘25, but if these wars come to a close, does that have any implications on sort of this longer-term view?
Bill Lynn: Ukraine has not been -- in terms of direct sales to Ukraine, it hasn't been an overwhelming impact to us. So you're sitting there in ‘24, think about 2% to 3% of our sales is being delivered to Ukraine. So I would say that has a limited impact. I think more importantly, as you look at is one, we are increasing the growth from ‘25 from that 4% to 7% to 5% to 8% that we came out with. It is going to be on a higher base from the '24 results as we picked up '24 as well. So we feel good about that growth. I think the mid-single is still where we're going to be prospectively. But we feel good about that growth given the budget backdrop and where we are.
Michael Ciarmoli: Got it. Okay, and then just on the counter UAS systems, it sounds like I think you called out the Stryker option. Is there a potential opportunity for you guys to participate in the Replicator 2 initiative? Any -- and is that sort of a target program for what you guys are working on?
Bill Lynn: Replicator 2 hasn't quite gotten to our Counter-UAS efforts. Yes, I guess it's a big DoD initiative, it could move in different directions. But right now, it was the drive -- the need-driven by Ukraine and the force structure increases that the Army has been making plus the technology development, we did just show the -- a directed energy version that we developed, I think, as I said, in about eight months for the Army. I think it's those technological developments, as well as the force structure increases and the threat that's driving it less than a what -- than a specific department initiative through Replicator.
Michael Ciarmoli: Got it, got it. And last one, just on Columbia-class, I think the plan was to start Shipset 3. Are you guys onto Shipset 3 now?
Bill Lynn: Yes. Yes, we are. And we're proceeding pretty much along that schedule that we laid out. So everything's going on-time and on-schedule.
Michael Ciarmoli: Perfect. Thanks guys. I'll jump back in the queue here.
Operator: Thank you. Our next question comes from the line of Seth Seifman of JP Morgan. Please proceed with your question.
Seth Seifman: Yes, thanks very much, and good morning.
Bill Lynn: Good morning.
Seth Seifman: So I just wanted to ask the margin -- EBITDA margin rate step up that's embedded in Q4. I guess we'll see some of that, I assume on the leverage on sales in advanced sensing and computing, just given the kind of seasonal strength in the fourth quarter? And then it -- first, so I guess that's the first part of the question. And then the second part for IMS, it seems like is there anything about the Columbia, you know, a step up or a milestone that's anticipated in the fourth quarter that kind of drives up the profitability?
Bill Lynn: Yes. So I'll take this. If you're talking from a profitability perspective sequentially, if you look from Q3 to Q4 based on the, you know, kind of math from the revised guidance, you're right, we period expense G&A, the volume is going to drive the drop-through and that's what gives us confidence in the margin. If you're comparing to the prior year where we had a similar revenue output, you're seeing about 100 basis points of tick-up from a marginality perspective. That's really driven from two aspects, the first is mix. And when I say mix here on the ASC side, you're talking predominantly that the tactical radars. And then maybe more importantly on the IMS side, it is the Columbia where we're seeing not necessarily a milestone, but you're seeing the revenue moving towards the later shipsets and having a higher proportionality of the revenue coming from those newer price shipsets and that's what's driving the profit expansion.
Seth Seifman: Right. And so that's a -- to the extent that, that's not like a milestone, but just a mix change that becomes -- does that become something that's kind of ongoing? I guess we won't see that fourth quarter level of volume as we go into the first quarter of 2025.
Bill Lynn: That's correct. That's exactly correct. So you won't get the volume benefit, but the margin should be there and that's what's going to bridge us to our multi-year target of driving to that 14% marginality.
Seth Seifman: Right. Okay, okay. And then maybe to follow-up a little earlier about the M&A question and just a lot of cash coming in, in the fourth quarter, obviously, to the extent that there aren't opportunities out there, it does it become time at some point to think about other options for the balance sheet?
Mike Dippold: Yes. I mean, so our priority remains M&A, but it's -- that's our highest priority, but it's not our only one. So we will look at other ways of returning cash to shareholders, as well as M&A.
Seth Seifman: Okay. Very good. Thanks very much.
Operator: Thank you. Our next question comes from the line of Jon Tanwanteng of CJS Securities. Please proceed with your question.
Unidentified Analyst: Hi, this is Justin on for Jon. Good morning.
Bill Lynn: Good morning.
Steve Vather: Good morning.
Unidentified Analyst: Are you seeing more relative strength in international or domestic end markets right now?
Bill Lynn: I mean, right now, internationally, overall, the international markets are growing faster than the U.S. defense budget. And that's true in Europe, it's true in the Middle East and Asia as well. It's I think driven by the, you know, the near-term and geographically near threats with, you know, Putin crossing borders in Europe, Iran in the Middle East, and then the threats that China is posing by its increasingly aggressive behavior all that's driving our allies to higher defense budgets. And we've seen that long-term trend in our revenue base. We've doubled our international revenue from about 5% to 10% over the last three or four years, and we expect to see that outpacing of international revenue to continue over the next couple of years at least.
Unidentified Analyst: That's helpful. Thanks. And then one more if I could. Can you talk about the duration in time to revenue for new orders? So has that remained the same, you know, gotten longer contracted? Just any more color on that, that'd be helpful.
Michael Dippold: Yes. So the way we look at that is, if you were rewinding the clock to a pre-COVID environment, our conversion of that booking and that backlog to revenue was much quicker than it is today. I think when Bill made the comments on some of the supply chain it -- in the past quarters, it is stabilized, but the lead times are still elongated. So from our historical norms, the conversion is a little longer than we had seen. But from a comparison to, you know, kind of recent, it should be pretty stable if you're comparing to kind of the '23-'24 timeframe.
Unidentified Analyst: All right. Thanks so much for taking the questions.
Operator: Thank you. Our next question comes from the line of Ron Epstein with Bank of America. Please proceed with your question.
Ron Epstein: Yes. Hey, good morning, guys. Bill, can you kind of walk-through what's your M&A sourcing strategy where -- how are you finding deals? Or are you guys doing it? Is it you just looking at bankers bring it just kind of broadly, how are you finding M&A?
Bill Lynn: Yes, Ron, we have a dedicated team that it reviews -- that does what you just said. It -- you know, we get teasers from all of the investment banks as they bring properties out. And we review those, particularly focused on those four core mission areas. We also reach out to both financial and strategics where we think there might be, you know, as strategics have consolidated, there's been some moves to think about shaping that portfolio. I mean, financial buyers or financial owners are ultimately always going to be sellers over the long-term. So sometimes we investigate, you know, what the timing is. And we pull all that together. And as I said, what we're looking for is actionable properties in our four core areas that meet our financial criteria in terms of accretive and supporting our growth and margin and the ROIC targets we have.
Mike Dippold: And Ron, I'll just add one thing to Bill's comments is also, if you think about particularly in our IMS segment, we are bringing a coalition of the best-in-breed capabilities for different solutions. That gives us a nice insight to up-and-coming technologies. And we've had a lot of success in the past of cultivating that relationships and ultimately partnering or using that for an acquisition incubator, if you will.
Ronald Epstein: Got it. Got it. And then I mean you probably can't answer this, but I'll ask it anyway. Is there anything in the Boeing defense portfolio that could be core to you guys that isn't necessarily core to them?
Bill Lynn: Yes. It's always possible. I mean, I read the news too, but we don't have anything actionable at this point with Boeing.
Ronald Epstein: Yes, got it. Got it. And then maybe just one more if I may. You know, with Replicator 2, I mean just kind of going back on maybe some of the earlier questions, how are you thinking about demand for Counter-UAS and directed energy? I mean, ultimately, how big could that market be?
Bill Lynn: Well, I mean, I think we're still at the early stage of filling out the Army portfolio of I think it's nine battalions of short-range air defense and a similar number in the counter-drone. I think the -- beyond the -- that will take several years. I think beyond that, international sales, I think are just at the launch point. It's -- once you've developed the system, which is where we are at this point then you're moving into production, that's where international sales become possible. And our initiative to take the counter-drone system from a two-vehicle system down to a one vehicle, we did that really on our own R&D dime, and then the Army was favorably not exposed to it to cut that in early in terms of the deployed units. But that two -- that -- moving from two to a single vehicle solution makes it more affordable and easier to operate, and that -- both those things make it more attractive to international buyers. So I think that's kind of the next opening.
Ronald Epstein: Got it. Thank you very much.
Operator: Thank you. Our next question comes from the line of Kristine Liwag of Morgan Stanley. Please proceed with your question.
Unidentified Analyst: Hey, this is Justin on for Kristine. Thanks for taking the question. Just going back on the '25 outlook, yes, I know we 'll get more detail on the 4Q call sort of the 5% to 8% growth guide. I was curious at this point if the growth profile looks similar across ASC and IMS next year or are there factors we could consider that might drive some variation in '25? Thanks.
Mike Dippold: Yes. I would say you can almost see it in the book-to-bill in the year-to-date period. We're getting pretty consistent demand across both segments. So I think from a trend perspective of where we're at -- we would expect both of the segments to contribute to the growth rates that we're projecting out through 2025. I'll put the little asterisks where you get a little bit of an extra tailwind on the IMS side from the Columbia pricing that we talked about, which is also assisting in the margin expansion.
Unidentified Analyst: Okay, great. That's helpful. And then maybe just one quick one on CapEx. Can you just provide a little more color on the pace of the South Carolina facility build-out from here and how we should think about the investment profile over the next few quarters? Thanks.
Mike Dippold: Yes, I would say that you'll likely see a little tick-up in the CapEx into Q4. We do expect to land somewhere in the mid to high-3's from a CapEx as a percentage of revenue. I think we initially had said that would be close to 4%. Obviously, the revenue guide has changed since then, kind of, pushing that percentage down. But the project remains, it was a little slower in the first-half, we've started to catch up here, that's why I think you'll see the ramp in Q4 and nothing has really changed on the pacing for 2025.
Unidentified Analyst: Got it. Thanks.
Operator: Thank you. [Operator Instructions] And our next question comes from the line of Ned Morgan of BTIG. Please proceed with your question. At this time, I will turn the floor back to Steve Vather for closing remarks.
Steve Vather: Thank you all for your time this morning and your interest in DRS. Of course, if you have follow-up questions, please don't hesitate to call or email me. We look forward to speaking with all of you again soon. Enjoy the rest of your day.
Operator: Thank you. This concludes today's conference. You may disconnect now and thank you for your participation.